Operator: Dear ladies and gentlemen, welcome to the Uniper Analyst and Investor Conference Call for the first 9 months of fiscal year 2025. At our request, this conference will be recorded. [Operator Instructions]. I now hand you over to the Executive Vice President, Group Finance, and Investor Relations, Sebastian Veit, who will start the meeting today. Please go ahead.
Sebastian Veit: Thank you, operator, and good morning, everyone. Welcome to the Uniper Interim Results Call for the first 9 months of fiscal year 2025. Next to me on today's call are Michael Lewis, our Chief Executive Officer; and Christian Barr, our new Chief Financial Officer. I'm glad that both are with us today, and a special warm welcome to Christian joining us for his first results presentation as Uniper's new Chief Financial Officer. Today, Michael will start with a summary of the company highlights, and Christian will guide you through the financial performance for the first 9 months 2025. And as usual, there will be a Q&A session after the presentation. Now let me hand you over to Michael Lewis, please.
Michael Lewis: Thank you, Sebastian, and a very good morning to everyone, and thank you for tuning in to Uniper's 9 months results call for 2025. And we're very pleased to report a solid set of results in a challenging market environment, and we can confirm our outlook for the full year. But before we get into the numbers, I'd like to give you an update on our leadership team. And with me today for the very first time is Christian Barr, who I cordially welcome here as our new Chief Financial Officer, and this is, in fact, his fourth working day. And Christian joined as CFO on November 1. I've known Christian for quite some time as we were former colleagues at E.ON and we successfully worked together at E.ON U.K., where Christian served as the CFO when I was the CEO, and we successfully managed the U.K. transformation on the acquisition of npower. And Christian has a distinguished track record in financial management within the energy sector. And this experience, coupled with his transformation expertise, make him an invaluable addition to our management team. So, again, I repeat, a very warm welcome, Christian. And alongside Christian's appointment, we've also reorganized our management Board to focus more effectively on our strategic transformation, and effective from November 1, a new division has been established combining the roles of Chief People and Transformation Officer. This new area is led by a long-standing, highly experienced colleague, Fabienne Twelemann. Fabienne has held key roles over the past years in the CEO area of Uniper in leading our communications and government relations function during the energy crisis as well as heading successfully our Human Resources function over the past year. And she's widely recognized across Uniper for her leadership skills and her ability to drive change, and I'm delighted that she's now part of Uniper's Management Board. In addition, Uniper has extended the contracts of Holger Kreetz, our Chief Operating Officer; and Carsten Poppinga, our Chief Commercial Officer, for a further 5 years through to February 2031, and both Carsten and Holger are playing pivotal roles in Uniper's strategic transformation. And Carsten is, among other things, focused on building a diverse and risk-balanced gas and LNG portfolio following our successful litigation against Gazprom and our cancellation of those contracts. And Holger is delivering the transformation of our power plant portfolio. And their continued presence on the Management Board will provide the continuity and stability needed to successfully execute our strategic transformation. And in this context, I'd also like to express my sincere thanks to Jutta Donges as former Chief Financial Officer for her extraordinary commitment and outstanding contribution over the past years. Her performance was absolutely decisive for Uniper's stabilization and the successful repositioning of the group. And on behalf of the entire Management Board and all employees, I would like to wish Jutta every success in her new role and in her personal future. And with this, let's now turn to our 9 months highlights on Slide 4. As you can see, our operating business performed solidly in the first 9 months of this year. The positive earnings momentum from the second quarter continued into the third quarter. Group adjusted EBITDA amounted to EUR 641 million, and group adjusted net income reached EUR 268 million. As anticipated, these figures are below the exceptionally strong results of the prior year period, but they are in line with expectations. Also, our financial position remains in very good shape even after the full payment of the EUR 2.6 billion of contractual recovery claims of the Federal Republic of Germany in March 2025, and the group's net cash position reached EUR 3.3 billion at the end of September. Looking ahead, we're on track to deliver our full year earnings outlook. We expect adjusted EBITDA to range between EUR 1 billion and EUR 1.3 billion, and adjusted net income is expected to come in between EUR 350 million and EUR 550 million. And Christian will provide a more detailed explanation of the financial drivers in a moment. So our transformation journey continues. On the financing side, we've extended our toolkit. Only recently, we published our Green Finance framework, which will form the basis for green bond issuance in the future. A decision for issuance is not planned at the moment, but this Green Finance framework and our debt issuance program together form a strong debt financing tool set, securing a range of options for future funding. In addition, we've also been able to further reduce the KfW credit line from EUR 5 billion to EUR 1 billion as of October 1. Coming to our strategic transformation. So far, we've invested EUR 610 million this year, with the majority of this investment going into our Flexible Generation and Green Generation segments, and we continue to focus on the execution of our strategy. For instance, a number of financial decisions in the renewables business are still expected this year. Furthermore, we fulfilled almost all the necessary remedy measures and obligations agreed between the German government and the EU Commission as part of the state aid approval. And we've announced the sale of the 1.1 gigawatt German coal-fired power plant, Datteln 4, and this transaction is still subject to the usual regulatory approvals. And also since the last call, we've announced the sale of the district heating business in Germany, which successfully closed a few days ago. So we've made great progress in that area. But let's now take a closer look at the 9 months results. And Christian, over to you.
Christian Barr: Yes. Thanks, Mike, for your kind introduction, and a warm welcome to all of you. It's a privilege to join Uniper as the Chief Financial Officer, and my special thanks go to my predecessor, Jutta Donges, whose exceptional dedication and excellent work has laid a strong foundation for Uniper's next step. In a professional and smooth handover process, Jutta was handing over to me a critical sphere of responsibility for Uniper's success, which is supported by a highly qualified and superbly coordinated team. I look forward to working with our talented teams to drive Uniper's transformation and create long-term value. I bring with me sector expertise and experience from various senior financial leadership roles within the E.ON Group. And over the years, I gained extensive expertise in the commodity business and a deep understanding of all parts of the energy value chain from the supply energy down to its consumption. And as he said, I worked closely and successfully together with Mike Lewis as CFO of E.ON U.K. until 2023. While I followed Uniper's developments with interest over the past years, it was also great to meet again many colleagues I still know from our joint E.ON times. So the start during the first days was very positive in any respect. With Uniper's strong asset base and a clear decarbonization strategy, I am convinced that we are well positioned to play an essential part in Europe's energy transition. And my key priorities are twofold: First, continue safeguarding Uniper's strong financial position; and second, support the strategy execution while maintaining rigorous investment discipline. I'm grateful for the trust placed in me by the Supervisory Board and Mike Lewis. I look forward to working closely with my fellow Board members and the wider Uniper team to deliver sustainable value. And now I'm pleased to present the Uniper numbers of the first 9 months of 2025 in more detail. Headline. Results for the 9 months of the 2025 financial year have been published in an ad hoc release on 24th of October, as we did in previous quarters of this year. The outlook of the whole year 2025 has been confirmed. In the period under review, Uniper generated an adjusted EBITDA of EUR 640 million. The group's adjusted net income came in at EUR 268 million. We achieved these results against the backdrop of a decline in Uniper's gas sales and lower electricity generation volume. The latter was also driven by portfolio changes, decommissioning of plants and outages. Margins from forward hedging transactions have normalized in this market environment. Further figures are detailed on subsequent slides. Coming from an elevated level, greener commodities recorded a sizable drop in adjusted EBITDA contribution to Uniper's group results. After 9 months of the 2025 financial year, the segmental adjusted EBITDA was still negative at minus EUR 196 million. However, since Q2, a turnaround is clearly visible with profit contribution of around EUR 300 million in the summer season. Overall, the reduction in earnings is primarily linked to the concession of favorable margins from prior years. Key influences on earnings include challenges resulting from previous portfolio optimization measures and the end of gains associated with alternative Russian gas supply hedging. One bright spot was the significant increase in earnings contributions from the U.S. LNG business, which benefited from earlier favorable forward sales. Flexible Generation. Earnings declined by more than 50% to EUR 459 million in the 9 months of the 2025 financial year, reflecting the current market environment and a reduced fossil fuel portfolio. But the result remains satisfactory. A decrease in margins after the end of elevated clean dark and spark spreads observed until mid-2024 was smoothened by some offsetting effects, including additional earnings resulting from the settlement of contractual disputes. Green Generation achieved an adjusted EBITDA of EUR 540 million in the 9 months, which marks double-digit earnings decline compared to last year. Segment earnings were particularly affected by the extended downtime of the Oskarshamn 3 nuclear power plant. This power plant has been back online since November 2. The Nordic power market were well supplied due to high precipitation and above-average hydro reserve levels. In our hedge slide in the appendix of today's investor and analyst presentation, one can track that hedge prices show a decline of EUR 5 per megawatt hour for 2025 versus 2024. Lower realized prices and lower nuclear output were partly mitigated by higher hydro power sales volumes. The German hydro business saw slightly lower earnings. Pump storage power plants delivered lower earnings contributions. However, this was largely offset by strong forward sales for merchant volumes from our run-of-river plants who locked prices more than doubled. Looking to the forward years, including 2027, hedge prices for our Nordic and German business remained steady for the future years. Hedge prices for our Nordic and German fleet stayed steady from last quarter at about high EUR 80s to low EUR 90s per megawatt hour in Germany and about EUR 38 per megawatt hour in the Nordic. The next slide shows adjusted EBITDA reconciled to adjusted net income. Uniper's adjusted net income has been supported this year by lower depreciation and amortization and a continued significant positive economic interest result. Depreciation and amortization declined by about 10%, reflecting asset disposals and plant shutdowns as well as impairment charges on property, plant and equipment recognized, which resulted in a lower asset base. Economic interest remained in a clear positive territory, supported by the group's high net cash position ending up at EUR 3.3 billion as of end of September 2025. The operating tax rate was 26.2%. Turning to Slide 9, the focus is on the operating cash flow. Uniper recorded a negative operating cash flow of EUR 281 million in the first 9 months of the 2025 financial year. As you can see on this slide, Uniper's operating cash flow is strongly influenced by payment obligations to the Federal Republic of Germany settled in March 2025. Excluding this, Uniper's operating cash flow would have been a positive EUR 2.3 billion, supported by reduced inventory levels and strong cash in from receivables. Gas storage facilities were 80% -- 84% full at the end of September 2025 due to Uniper's own and customer bookings. This is around 10 terawatt hours below the previous year's level, which saw a record fill rate of 95%. Now over to Slide 10 and Uniper's financial position. At the end of September 2025, economic net cash stood at EUR 3.3 billion, which was virtually unchanged from the middle year level and only slightly below the balances at the end of the 2024 financial year. This very strong cash position was achieved despite of Uniper's fulfillment of the payment obligation to the German government, which was settled in full in March 2025, and an increase of CapEx. Cash investments reached EUR 610 million, up 60% year-on-year, reflecting progress in initiating growth projects and higher maintenance spending. These numbers bring us closer to the total investment of about EUR 1 billion budgeted for the full year 2025. Capital expenditure on maintenance focused on higher expenditure for flexible generation in the U.K. and Germany. Primary investments to accelerate our transition efforts were directed towards renewables, such as the development of a wind farm in Scotland and for restoring the 160-megawatt pump storage facility in Happurg in Bavaria. Divestment proceeds of EUR 345 million in total resulted mostly from the sale of the Hungarian CCGT power plant, Gönyu. Other items included changes in pensions and asset retirement obligations as well as consolidation effects. In the current financial year 2025, Uniper further developed its financial base on the debt side for short-term financing requirements and for the medium- to long-term financing of future projects. This includes the extension of Uniper's EUR 3 billion revolving credit facility to 2028, which provides Uniper with additional liquidity for varying needs in a day-to-day business. At the same time, the existing KfW credit line, which runs until 2026 and has not been drawn down, was reduced ahead of schedule from EUR 5 billion to EUR 1 billion from October 2025. The existing debt issuance program with a volume of EUR 2 billion was extended on a revolving basis for another year. Uniper just came up with its first Green Finance framework. This framework has been reviewed by Standard & Poor's Global confirming that we follow market standards. Uniper can issue green bonds for EU taxonomy aligned green projects on this basis in the future. And this brings me to the final slide with Uniper's outlook for the full year 2025. In summary, the normalization in power markets amid less favorable commodity prices has continued. Uniper is on track with its outlook, which shows that our business model is solid and, for the most part, delivers predictable results. The outlook for the full year 2025 is confirmed both for the group's adjusted EBITDA and adjusted net income. With a strong asset base and a clear decarbonization strategy, we are convinced that we are well positioned to play a decisive role in Europe's energy transition. This concludes our presentation for today, and I will hand it over back to you, Sebastian, to kick off the Q&A session.
Sebastian Veit: Thank you, Mike and Christian, and we can now start the Q&A session. Operator, I'm handing it over to you, please.
Operator: [Operator Instructions] Our first question comes from the line of Anna Webb.
Anna Webb: Anna Webb from UBS. Firstly, can I ask a question on the renewables pipeline. if you could give any more detail on what is under construction, how much you have kind of ready to build and how the kind of pipeline is progressing there? And also more generally, any comments you can give on the kind of market conditions for renewables, where you see as most attractive geographies and also technologies, that would be great. And then secondly, if you can give any commentary around the German government stake in Uniper. I mean, I know it's difficult for you to comment, but any kind of public statements from the German government on timing, on what might be the route to reduce their stake and the latest discussions there. Any detail would be really helpful.
Michael Lewis: Thanks, Anna, for the questions, I should say. Maybe I'll pick up the second question first. The position hasn't changed since the federal government announced the 2-track approach last year. That's to say potential re-IPO and potential M&A sale. That is still the position. There's been no update. What is also still the position is that the EU requirements to sell down to 25% plus 1 share by the end of 2028 are still valid. So there's no real update beyond that, that I can give you. Let's come on to the renewable situation. At the moment, we have 280 megawatts of projects which have been approved for build, i.e., they've been through our final investment decision. That's 7 projects in the U.K., Germany and Hungary. Six of those are solar projects and one of those is a wind project. And we have another 400 megawatts which are preparing for financial investment decision across those markets. Now I don't want to comment specifically on the commercial details of any of those projects. We are finding that our pipeline is developing in a satisfactory way. We are in a position to invest significant amounts, and we are building up the portfolio, as I've just announced, and we will continue to do so. I think the key challenge is always how potential incentive systems might change in the different countries. And of course, beyond the fixed price period, how wholesale prices are developing, and we keep a very close look on that at all times to ensure that all of our projects meet our hurdle rate.
Operator: [Operator Instructions] As there are no further questions, I will return the conference back to the management.
Sebastian Veit: Thank you. Dear analysts and investors, thanks for listening in for today's call. We're looking very much forward to our next call for the full year results on 2025 in next March. Have a good remaining of the day, and see you soon and hear you soon. Thank you very much.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded.